Operator: Good day, ladies and gentlemen, and welcome to the John B. Sanfilippo & Son, Inc. Second Quarter Fiscal 2012 Operating Results Conference Call. My name is Jennifer, and I'll be your coordinator for today. [Operator Instructions] I would now like to turn the conference over to your host for today, Mr. Mike Valentine, Chief Financial Officer. Please proceed. 
Michael Valentine: Thank you, Jennifer. First, we'd like to thank everyone for participating in our quarterly conference call for the second quarter of our fiscal 2012. Before we start, we may make some forward-looking statements today. These statements are based on our current expectations and involve risks and uncertainties that are inherent in our business. The factors that could negatively impact results are explained in our various SEC filings that we have made, including Forms 10-K and Form 10-Q. We encourage everyone to refer to these filings to learn more about these risk factors.
 Net sales for the current second quarter was $223.3 million compared to $223.6 million for the second quarter of fiscal 2011. Sales volume, which is measured in pounds sold to customers, declined by 13% in the quarterly comparison. Net sales remained relatively unchanged due to price increases that were implemented over the last 12 months for virtually all of the products that we sell. 
 Volume decline occurred mainly in the consumer channel, though we experienced declines in all other channels. Volume declined on sales of all major products, except fruit and nut mixes. The volume decline in all channels is primarily attributable to the impact of high prices on consumption. Also contributing to the volume decline was lost insignificant margin business with 3 private label customers, who would not accept price increases and put their business up for bid. To a lesser extent, limited supplies of walnuts and pecans also contributed to the overall volume decline in the quarterly comparison. 
 Net sales for the first 2 quarters of the current fiscal year increased to $380.1 million from $370.4 million for the first 2 quarters of fiscal 2011. Price increases, again, were the primary driver of the increase in net sales as sales volume decreased by 10.4% in the year-to-date comparison. Sales volume declined primarily in the consumer channel and also declined, to a lesser extent, in all other channels. Sales volume declined on sales of all major products except almonds. 
 As was the case in the quarterly comparison, the majority of the volume decline was attributable to the negative impact on consumption from high selling prices. Additionally, the lost business mentioned in the quarterly comparison accounted for about 29% of the volume decline in the year-to-date comparison. And again, limited supplies of walnuts and pecans also contributed to the volume decline in the year-to-date comparison.
 Second quarter gross profit margin rose to 15.9% of net sales from 12.2% for last year's second quarter. Gross profit margin for the first 2 quarters of the current fiscal year increased to 15.1% from 12.9% for the first 2 quarters of fiscal 2011. The increase in gross profit margins for both the quarterly and year-to-date comparisons were almost entirely attributable to an improvement in the alignment of selling prices and commodity acquisition costs.
 Total operating expenses for the current second quarter increased to 8.8% of net sales from 7.8% for the second quarter of 2011. Total operating expenses for the current year-to-date period increased slightly to 9.5% of net sales from 9.3% of net sales for the first 2 quarters of last year. The increase in total operating expenses as a percentage of net sales in the quarterly and year-to-date comparisons are mainly attributable to the recording of incentive compensation expense in both periods. No incentive compensation expense was incurred in either period in the prior year due to lower operating results in fiscal 2011. The increase in incentive compensation expense in both comparisons was offset, in part, by decreases in freight expense from lower sales volume and a lower broker commissions expense due to a shift away from business where we are represented by brokers. 
 It should also be noted that total operating expenses in the prior year's second quarter were reduced by an insurance settlement with a pistachio supplier and the reversal of an accrual for the forfeiture of the bonus bank. The forfeiture of the bonus bank in fiscal 2011 was made in accordance with our incentive compensation plan and was attributable to lower operating results in that fiscal year. 
 These reductions in total operating expenses from the prior year's second quarter were offset, in part, by the recording of a litigation accrual and an increase in the earn-out liability associated with the acquisition of Orchard Valley Harvest. The net impact of these unusual items was a reduction to second quarter 2011 total operating expenses of $900,000. Primarily because of lower average short-term borrowing levels in both comparisons, interest expense declined by $300,000 in the quarterly comparison and declined by $500,000 in the year-to-date comparison. Average short-term borrowing levels were lower in both comparisons, primarily because of delayed deliveries of pecans from growers due to a late pecan harvest and also from cash flow from improved profitability. 
 Taking a quick look at inventory. The value of total inventories on hand at the end of the second quarter decreased by $4.9 million or 3% compared to total inventories on hand at the end of the second quarter of fiscal 2011. Quantities of raw input stocks fell by 22.2%, while the weighted average cost per pound of input stocks increased by 25.1%. The cost per pound of input stocks increased for all major nuts except almonds. The value of finished goods on hand at the end of the second quarter fell by 7.7% compared to the value of finished goods on hand at the end of last year's second quarter due to a 13.7% decline in the quantity on hand.
 And now, I'll turn the call over to Jeffrey Sanfilippo, our CEO, who will provide additional comments on the results for the second quarter of fiscal 2012. Jeff? 
Jeffrey Sanfilippo: Thank you, Mike. Good morning, everyone. From Mike's comments and the information provided in our press release and 10-Q, there are 2 highlights in this quarter that are important. First, the significant improvement in gross profit and gross profit margin due to the alignment of selling prices and commodity acquisition costs. Our financial results show a return to targeted operating margins. Our gross profit margin as a percent of net sales, as Mike mentioned, increased to 15.9% for the second quarter of fiscal 2012 compared to 12.2% for the second quarter of fiscal 2011. Gross profit increased by $9.4 million or 19.7% to $57.2 million for the second quarter of fiscal 2012. 
 Over the last 4 years, the management team made changes to our business that allow us to better manage the complexity of volatile commodity cost shifts in our industry. Due to our vertical integration, nut procurement expertise, visibility of crop conditions and quality and what I believe to be a core competency in managing supply chain, JBSS was able to react quickly and effectively. The alignment of our raw material costs and selling prices in Q2 in such a volatile and competitive market demonstrates the discipline of our sales, marketing and customer teams to execute price changes. 
 Price increases with customers are never easy, but we worked closely with our key partners to implement them. We also worked with those key customers to ensure they had adequate supplies on hand during the holidays, and we improved service levels. We also worked on our product portfolio, formulas, pack sizes and merchandising displays to assist customers with reducing their supply chain costs, such as warehouse inventory levels and store labor for stocking shelves, while driving incremental volume. We expect that acquisition costs for most tree nuts will be relatively stable for the 2011 crop year, which falls into our 2012 fiscal year, but acquisition costs will remain at levels that are significantly higher than historical averages. 
 As a result of the alignment of our selling prices with acquisition costs, the second highlight in the quarter is that nut consumption and usage is down as a result of higher retail and ingredient nut prices. The necessary price increases implemented by nut processors and the national brands are working their way through the market and impacting customer and consumer buying decisions. 
 Turning to category information. The following trends occurred in the consumer channel in our second quarter as a result of higher costs and higher retail prices. All the market information is reported through ACNielsen Homescan data ending December 24. We look at the category on a 4-outlet basis, which includes food, drug and mass, plus Walmart, and when we discuss pricing, we are referring to average price per pound. 
 The total nut category experienced a softening in pound volume in Q2, while sales dollars increased due to higher retail prices. For the second quarter, total pound volume was down 9%, while sales revenue increased 5%. This is an acceleration in category softness versus last quarter, when the category declined 1% in pounds. The higher prices are clearly weighing in on consumers and impacting their purchasing decisions. 
 Looking at category by segment. Snack nuts declined 10% in pound sales for the quarter versus last year while managing a small increase in revenue. Average prices were up 13% for the quarter. Cashews and mixed nuts, the nut types that have experienced the greatest increase in prices, experienced the biggest decline in pound volume. Trail mixes were the one bright spot in the snack nut category, showing growth of 14%. 
 Private brand snack nuts grew 6/10 of a share point as consumers sought out lower price points in the rising retail price environment. Among the national brands, Blue Diamond and Emerald grew, while Planters faced the biggest share loss. The Fisher brand lost 2/10 of a share in the snack segment for the quarter due to merchandising and distribution softness. However, we have seen positive signs since the start of our "Freshness You Can See" integrated marketing campaign around our new clear can, and we believe that our focused strategy will lead to improved business performance. 
 The baking and culinary segment was down 12% in pounds for the quarter but up 7% in dollars. As in the snack segment, higher consumer prices are weighing on the category. The decline of the segment reflects the increasing pricing pressure placed on consumers in this economic environment. 
 Pricing in the baking channel increased 5% versus the prior quarter and 21% versus this time last year. Increases were particularly evident within the walnut and pecan product segments, which increased by 23% and 29%, respectively. As in the snack segment, private brand baking nuts were the big share winner in this environment, gaining 3.5 share points of pound sales. Unfortunately, the Fisher brand experienced a 3-point share loss in pounds and 1.5 share points in dollars. We attribute some of this loss in the market share to competitive pressure as Fisher's brand prices went up to a greater degree than the category average. 
 Consistent with other segments, the Produce segment was also down 5% in pounds while managing a 9% increase in revenue. The segment is experiencing softness on virtually all nut types, with the notable exception of pistachios, which were up significantly. Retail pistachio prices are relatively stable versus last year, causing consumers to increase their purchases of other nut types that went up in price. Also, the brand leader, Paramount, with their Wonderful brand, has done a great job promoting and merchandising pistachios across retail segments. 
 Turning to JBSS sales. Net sales in the consumer distribution channel decreased by 0.9% in dollars and decreased 14.9% in volume in the second quarter. Private brand consumer sales volume decreased by 14.2% in the second quarter due primarily to lower sales volume at a major customer and loss of business, as Mike mentioned, at 2 customers, who elected not to accept price increases. 
 Fisher Brand sales volume decreased by 17% in the second quarter due primarily to lower snack nut and baking nut sales. Sales volume for both private brand and branded nut products were negatively affected by a decrease in consumer demand for nuts, as I mentioned, due to the higher selling prices. 
 Net sales in our commercial ingredient distribution channel increased by 1.1% in dollars but decreased 9% in sales volume in the second quarter. The sales volume decrease was primarily due to lower walnut sales, mainly resulting from a limited supply of walnuts available for the commercial ingredient distribution channel, that was partially offset by higher peanut butter sales. 
 Net sales in the export distribution channel increased by 5.7% in dollars but decreased 17.4% in volume in the second quarter. The decrease was due primarily to lower walnut sales resulting mainly from a limited supply of walnuts, again, available for the export distribution channel and lost business at a major export retail customer. The decrease in sales volume in the export channel was due primarily to lost business at a major retail export customer, as I mentioned. 
 In closing, our financial performance for the first 26 weeks of fiscal 2012 showed a general improvement over the first 26 weeks of fiscal 2011. We currently expect that commodity costs, while higher than historical averages, will remain relatively stable for the remainder of fiscal 2012, with the potential exception of walnut and peanut prices. We will continue to execute our long-term strategic goals to grow our brands, expand globally and provide value-added integrated nut solutions. We have executed several portions of this strategy through the first 26 weeks of fiscal 2012, including an increase in private brand sales to a major customer, a renewed focus on our branded business and fully integrating the acquisition of Orchard Valley Harvest into our operations, which gives us a significant presence in the produce section of retail supermarkets. We will continue to focus on seeking profitable business opportunities to further utilize our additional production capacity in our primary manufacturing and processing facility in Elgin. 
 Our strong balance sheet and cash flow allow us to devote additional funds to promote our products, especially our Fisher and Orchard Valley Harvest brands, and explore other growth strategies outlined in our strategic plan. We are focused on diversifying our product portfolio to mitigate the impact of volatile nut commodities. We continue to invest in research and development, consumer insights and innovation to enhance our profit margins and meet changing consumer needs. 
 We will continue to concentrate on cost-reduction initiatives throughout the entire organization in fiscal 2012. I strongly believe we have the roadmap to navigate our customers, our brands and our company through this continuing challenging environment. 
 We appreciate your participation in the call, and thank you for your interest in our company. At this time, I will turn the call back over to Mike. 
Michael Valentine: Okay, Jeff. Thank you. At this time, we'll open the call to questions. Jennifer, can you please queue up the first question? 
Operator: [Operator Instructions] Your first question comes from the line of Bruce Winter [ph]. 
Unknown Analyst: Could you please update the status of peanuts with respect to overall demand, overall industry supply until the next harvest and your situation relevant to that and how it might affect profits going forward? 
Michael Valentine: Okay. This is Mike. I'll take the supply one, and I'll let Jeff take the demand one. On the supply side, we do have a significantly smaller crop than what we typically see. Average crop typically runs about 2 million farmer stock tons, and only about 1.8 million were harvested this year. That follows a very challenging crop in the prior year, which was negatively impacted by aflatoxin. So peanut supply is very tight. We are covered. Because we're a peanut sheller, most of our coverage is at levels that are much more favorable than today's market prices. We do believe that we'll have enough peanuts to get us through the rest of this crop year. And that pretty much wraps up the supply end of it. Jeff, do you want to take the demand? 
Jeffrey Sanfilippo: Yeah. We're continuing to see softness in peanut consumption. We're starting to see that accelerate as peanut price increases are starting to reach their way into the market, and so we have seen a trend towards decreased consumption in peanuts at retail. 
Unknown Analyst: Okay. Net-net, what does that mean towards profits? 
Michael Valentine: Well, as we've mentioned in our release, we have aligned our prices and acquisition costs, and that also goes for peanuts, too. 
Unknown Analyst: Let's see. So you should have built-in profits in your inventory for peanuts. Or -- isn't that a good way of looking at it? 
Michael Valentine: Well, not necessarily, because the market, at least as far as what our competitors sell peanut products to retailers, those prices don't reflect the current market prices for raw peanuts. So I wouldn't say that's necessarily true. 
Unknown Analyst: We'll just have to wait and find out, I guess. 
Michael Valentine: You should consider them aligned. 
Operator: [Operator Instructions] Your next question comes from the line of Greg Venit from Morgan Stanley. 
Greg Venit: I was wondering, with your walnut operation, is there any potential benefit with the problems that Diamond Foods is having with their walnut growers that you may be able to pick up additional business and run through your walnut processing? 
Michael Valentine: Greg, we're -- at this point in the crop year, we're not really familiar with what the relationships are with growers. And also, at this point in the crop year, growers typically don't make a decision as to whom they're going to do business with, so it's just too soon to say. 
Greg Venit: When is there a time that the growers make a decision? Is it near harvest time? Or are they locked in for a long period of time? How does that work, Mike? 
Michael Valentine: It's somewhat mixed in that respect, and that pretty much goes for all shellers. But typically, in the walnut industry, growers make their decision usually in the early part of the summer. 
Greg Venit: So are these people locked in to Diamond? Or is there a potential that some of them may be knocking on your doors and would rather do business with you? 
Michael Valentine: We don't really know if their growers are locked in for -- in multi-year contracts or individual-year contracts. 
Greg Venit: All right. So we may know by this summer then? 
Michael Valentine: Yes. I think the industry will have a much better idea as to what growers, in general, are going to do, including our growers, in terms of contracting for the 2012 crop. 
Greg Venit: Do you have the ability in your shelling plants to take additional -- if additional capacity came your way, do you have the ability of taking that on with no cap -- 
Michael Valentine: Yes, we do. Yes. 
Greg Venit: So you could take on quite a bit, I guess. 
Michael Valentine: Yes, we have the excess capacity to do that. And if there are actual walnuts available, we'll buy what is appropriate based on our strategic plan and forecast that we'll have in place by the end of the spring. 
Jeffrey Sanfilippo: And Greg, this is Jeffrey. If you look at our current capacity availability in our Gustine, California, facility, there's a minimum of additional 10 million pounds of in-shell capacity available. 
Greg Venit: What's the total capacity there? 
Jeffrey Sanfilippo: It's around 60 million on the in-shell. 
Greg Venit: 60? 
Jeffrey Sanfilippo: Yes. 
Greg Venit: Okay. So that could increase your profit margin if you got -- if you were able to obtain more volume? 
Michael Valentine: Well, volume always helps, but we always have to keep in mind, too, that the price of in-shell walnuts in the field also determines that, probably to a larger extent. So that will be the ultimate determining factor on how much we buy. 
Greg Venit: Okay. Is there any update on the real estate -- excess real estate that you've been working on trying to dispose of over the last year or 2? 
Jeffrey Sanfilippo: Yes. Well, we're still working with a potential buyer. We're hoping to conclude something at the end of this fiscal year, but it's still a challenging environment for real estate in the Chicago area. But we're optimistic that we could complete something over the next 5 or 6 months. 
Greg Venit: Excellent. The next quarter, by the way, that's -- the next quarter coming out is usually a slower quarter. Is that correct? 
Jeffrey Sanfilippo: The third quarter is, yes, normally our slowest quarter. 
Operator: Your next question comes from the line of Mike Lyons from Lyons Asset Management. 
Mike Lyons: Yes. I just wanted to follow up a little bit on capacity. It would seem to me, with the plant -- the facility consolidation finished and pounds decreasing in the last year or so, that you would have a fair bit of spare capacity. And I wondered if you thought you could fill that up, if that assumption is correct, through organic growth over the next few years or whether you really need something on the acquisition front? 
Jeffrey Sanfilippo: Well, obviously, the acquisition front would get us an immediate increase in volume. We still believe there are a lot of organic opportunities as we look to focus on building our brands, both Fisher and Orchard Valley Harvest. We're continuing to work with key private brand partners to help grow their snack and baking nut categories. We've got additional capacity. The volume declines, obviously, are moving in the wrong direction, but we're confident that there's enough opportunities that we can pursue a lot of organic growth. While we've had volume declines, we have made a conscious effort to reduce operating costs through increased efficiencies and really focused on reducing our operating costs across each of the facilities. But definitely, an acquisition would increase volume much quicker than organic growth at this time. 
Mike Lyons: And is the export market potentially significant to you going forward? Or will it be fairly immaterial? 
Jeffrey Sanfilippo: No, it's a key focus. It's one of our strategic pillars. We are in the process of working on opening up an office in China. We've got a distributor in China right now that is selling our Fisher brand in the market, but we definitely have a key focus on expanding our global distribution of Fisher overseas, as well as aligning with our key partners in the U.S. that are also expanding their retail stores overseas. So it's -- it is part of our key strategic plan. 
Operator: And there are no further questions at this time. I will now turn the call back over to Michael Valentine. 
Michael Valentine: Okay, Jennifer, thank you. That concludes our call for our fiscal 2012 second quarter. Again, we'd like to thank everyone for their interest in JBSS, and we wish you all a good day. Thank you. 
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.